Operator: Good morning, and welcome to The Brink's Third Quarter 2025 Earnings Presentation. [Operator Instructions] Please note, this event is being recorded. This call and the Q&A session will contain forward-looking statements. Actual results could differ materially from projected or estimated results. Information regarding factors that could cause such differences are available in today's press release and presentation and in the company's SEC filings. The information presented and discussed on this call is representative of today only. Brink's assumes no obligation to update any forward-looking statements. The call is copyrighted and may not be used without written permission from Brink's. I will now turn it over to your host, Jesse Jenkins, Vice President of Investor Relations. Mr. Jenkins, you may begin.
Jesse Jenkins: Thanks, and good morning. Here with me today are CEO, Mark Eubanks; and CFO, Kurt McMaken. This morning, Brink's reported third quarter 2025 results on a GAAP, non-GAAP, and constant currency basis. Most of our comments today will be focused on our non-GAAP results. These non-GAAP financial measures are intended to provide investors with a supplemental comparison of our operating results and trends for the periods presented. We believe these measures allow investors to better compare performance over time and to evaluate our performance using the same metrics as management. Reconciliations of non-GAAP results to their most comparable GAAP results are provided in the press release, the appendix of the presentation, and our 8-K filings, all of which can be found on our website. I will now turn the call over to Brink's CEO, Mark Eubanks.
Richard Eubanks: Thanks, Jesse, and good morning, everyone. Starting on Slide 3. Brink delivered another solid quarter of mid-single-digit organic revenue growth. The 5% total company organic growth included an acceleration from Q2 to 19% for ATM Managed Services and Digital Retail Solutions or AMS/DRS as we continue to make progress expanding into large and growing markets. For the second consecutive quarter, we delivered record Q3 EBITDA and operating profit margins, driven by strong productivity, the benefits of AMS/DRS revenue mix, and continued pricing discipline. Third quarter EBITDA margins were 19%, up 180 basis points from the prior year. The improvement was highlighted by 320 basis points of expansion in North America as we make progress driving a balanced agenda around growth in AMS/DRS and cost productivity with the Brink's Business System. With AMS/DRS now accounting for 28% of total revenue in the quarter and more productivity initiatives underway, we are expecting continued margin progress going forward. Cash generation also continues to improve. In Q3, we delivered $175 million of free cash flow, a year-over-year increase of 30%. We continue to shorten our cash cycle and deliver capital efficiency across our asset base with vehicle counts down again this quarter and DSOs improved by 5 days. Looking at the quarter in total, we delivered on our guidance commitments with performance exceeding the midpoint of our communicated ranges for the quarter. Organic growth remains healthy in the mid-single digits with AMS/DRS accelerating quarter-over-quarter. We continue to make steady progress improving profitability as we drive lasting structural changes to the way we operate on both the front lines and in the back office. Supported by this strong momentum, we are passing through our Q3 midpoint outperformance to the full year and affirming our previously increased full year framework. Kurt will have more details on the guidance at the end of the presentation. Turning to Slide 4. You can see how our year-to-date performance supports our value creation strategy. First, we're focused on delivering organic growth primarily from our higher-margin subscription-based services of AMS and DRS. We are tracking in line with our full year framework with organic growth of 5% for the total company and 18% AMS/DRS year-to-date. The revenue growth and the execution of productivity enhancements have driven EBITDA margin expansion of 40 basis points year-to-date with acceleration in the second half. For the second consecutive quarter, we've achieved record EBITDA margins in both North America and Europe. Free cash flow conversion is also improving. Year-to-date free cash flow has increased to 78% and trailing 12-month conversion has improved to 50% of adjusted EBITDA. Supported by growth in AMS/DRS acceptance in the marketplace, we are making structural changes in the business that we believe will continue to pay dividends for years to come. Our cash cycle continues to shorten with year-to-date DSO improvement of 5 days. We are also improving capital efficiency as we reduce our CapEx needs and leverage our network more efficiently. And finally, we are focused on maximizing value for our shareholders through disciplined capital allocation. This year, capital has primarily been allocated to our share repurchase program, where we've utilized $154 million year-to-date to repurchase approximately 1.7 million shares at roughly $89 per share. Even with the share repurchases, we have moved our net debt-to-EBITDA leverage ratio to 2.9x in the third quarter, within our targeted range of 2x to 3x. We expect to stay within the range through year-end and remain on track to allocate at least 50% of our total free cash flow towards shareholder returns in the full year. So far, we have made meaningful progress against these value creation drivers this year. Turning to Slide 5. You can see the progression of our revenue mix towards AMS and DRS over the last several years. As a reminder, we split our business into 2 main customer offerings, cash and valuables management or CVM and AMS/DRS. Our CVM business includes the traditional parts of the business like point-to-point cash logistics, money processing, and our international shipping business, we call Global Services, while AMS includes revenue from our ATM managed services business as well as digital retail solutions. With full year organic growth in AMS and DRS trending towards the high end of our mid to high teens growth framework, we are increasing our mix expectations to between 27% and 28% of total revenue by year-end. While AMS/DRS is now 27% of our total revenue on a trailing 12-month basis, we are still in the early stages of penetrating this large and growing total addressable market. As we've previously discussed, unvended retail locations and ATM outsourcing opportunities represent a 2x to 3x market expansion opportunity. Looking closer at each of the customer offerings, organic growth in CVM remain consistent with our expectations. Growth was driven by good pricing discipline and Global Services performing similarly to the second quarter. As a reminder, CVM organic growth includes the conversion of existing customers over to AMS/DRS. AMS/DRS accelerated from 16% organic growth in Q2 to 19% this quarter. Acceleration occurred in both AMS and DRS individually and was balanced across geographic segments. In DRS, our pipelines remain robust, and we see consistent strength in verticals like pharmacies, gas stations, C-stores, quick-serve restaurants as well as fashion and jewelry verticals. In AMS, we have completed the onboarding of several key accounts and are at full revenue run rates with QT and RaceTrac here in North America and Sainsbury's in Europe with several additional customers set to be onboarded in the fourth quarter in LATAM and the Middle East. Turning to Slide 6. I thought it would be helpful to show a map of our current AMS footprint. The highlighted 51 countries represent Brink's presence across the globe with those in light blue representing countries with existing AMS agreements. We've also added a select few customer logos to illustrate our presence in these markets. This map had almost no AMS presence less than 4 years ago. Leveraging our existing customer relationships with banks and retailers as well as our acquired and organically built capabilities in AMS, we've been able to expand this market to what it is today. As we've previously said, this is just the beginning. While there are some impressive customers already in our portfolio, we are still in the early stages of this opportunity. As we consistently deliver reliable service with a total lower cost of ownership for customers, we see penetration opportunities both in the countries we already serve as well as the other geographies where we still have a presence. The current penetration rate for ATM outsourcing is still low. As we've previously discussed, there is an opportunity for the current addressable market to expand by 2x to 3x as more financial institutions make the shift to this win-win value proposition. This growing opportunity, coupled with an equally compelling retail backdrop in DRS provides confidence in our strategy for years to come. On Slide 7, I'll provide a quick update on our margin improvement journey in the key North America segment. The margin progression begins on the top line, where we've improved the revenue quality by shifting to higher-margin AMS/DRS. On a trailing 12-month basis, AMS/DRS now represents 31% of revenue in this segment. Since 2022, this business line has grown by 33% with strong conversion rates and steady new customer growth driving continued market penetration. Other areas of margin enhancement include our pricing discipline and the deployment of waste elimination initiatives through the Brink's Business System. These improvements are coming through the P&L with less direct labor expenses and lower fuel consumption. Even with the healthy top line growth, we are seeing consistent vehicle and employee count reductions and our safety performance continues to improve to record levels. In fact, since 2023, our total recordable incident rate or TRIR is down 33%. There are many studies that indicate positive correlation between higher safety records and improved shareholder returns. These returns happen because a safer work environment enables higher employee engagement, resulting in higher labor productivity, better service quality, resulting in higher customer satisfaction, which all ultimately leads to higher growth and profits. As we continue to shift to AMS/DRS and increase productivity, we are targeting to be at least 20% EBITDA margin in this segment over the midterm. Before I hand it over to Kurt to go through the details of the quarter, I want to thank our team for executing against our strategy. We delivered another solid quarter while meeting our commitments and advancing our strategy. Growth in the AMS/DRS business lines accelerated. Our profit margins expanded to record highs and our cash generation continues to improve. Supported by large and growing markets, ample productivity opportunities and consistent execution, I remain confident we have the right team and strategy in place. I'm excited for the future and encouraged about how far we've come. And with that, I'll hand it to Kurt to discuss the financials, and I'll come back for Q&A. Kurt?
Kurt McMaken: Thanks, Mark. I'll begin on Slide 9 with a look at the quarter. Revenue of over $1.3 billion, increased 6% with 5% organic growth and a 1% tailwind from foreign currency. Adjusted EBITDA was up 17% to $253 million, and operating profit was up 24%. Record profit margins slightly ahead of our expectations were driven by productivity, AMS/DRS mix benefits, and pricing discipline. Earnings per share of $2.08 was up 28%, driven by strong profit growth and the benefits of our share repurchase program. As Mark mentioned earlier, free cash flow was strong this quarter with improvement in the cash cycle on accounts receivable, accounts payable, and improved capital efficiency as we continue to shift our business to less capital-intensive AMS/DRS offerings. Trailing 12 months free cash flow is up over $200 million with conversion of 50%. We've been more balanced in our pacing of cash generation compared to the prior year and are still expecting to deliver our full year framework target of between 40% and 45% conversion. On Slide 10, organic revenue growth was $59 million, with most of the growth coming from higher-margin subscription-based AMS and DRS. It's important to note that CVM growth was and will continue to reflect AMS and DRS customer conversions. In Q3, we estimate this to be roughly 2 to 3 points of growth in CVM. Moving to the right side of the page, organic revenue growth of $59 million became EBITDA growth of $34 million for an incremental margin of 58%. Currency changes increased revenue by 1% or $13 million, with favorability in the lower-margin euro and British pound, partially offset by currency devaluation from the Argentine peso. The FX flow-through to EBITDA was approximately 7.5% due to the geographic mix of currency. Despite this, we are pleased with our performance in the quarter with our total incremental profit conversion of 47%. Moving to Slide 11, starting on the left. Operating profit was up $37 million to $188 million with a record margin of 14.1% on strong productivity in line of business revenue mix. Interest expense was flat year-over-year at $63 million, which is also roughly in line with our expectation for Q4. Tax expense was $35 million in the quarter, representing an effective tax rate of just under 28%, slightly lower than the Q2 rate. Income from continuing operations was $88 million. Walking back up to adjusted EBITDA, depreciation and amortization was $62 million, primarily reflecting increased depreciation from growth in AMS and DRS equipment. Stock comp and other was $6 million in the quarter, and we still expect a slight decrease to stock-based compensation over the full year to below $30 million. In total, third quarter adjusted EBITDA of $253 million and margin of 19% was above the midpoint of our guidance for the quarter with strong execution on AMS/DRS growth and productivity. Let's move to Slide 12 to discuss our capital allocation framework. We have a healthy menu of organic OpEx investments that we are making to drive AMS and DRS growth. These high-return investments remain our first call for capital. Next, we reduced leverage at quarter end to 2.9x net debt-to-EBITDA within our targeted range of 2x to 3x and slightly ahead of our expectations for the quarter. Our main use of capital this year continues to be shareholder returns, primarily through our share repurchase program. We have repurchased approximately 1.7 million shares year-to-date at an average price of just over $89 per share. We plan to remain active through the end of the year, and we remain on track to return at least 50% of our full year free cash flow to shareholders. We have been pleased with the results of our share repurchase program, which delivered EPS accretion of $0.08 in the quarter and $0.33 year-to-date. And finally, on M&A, our posture on deals is consistent. We have a full pipeline and continue to explore accretive opportunities that have a strong strategic fit, attractive returns, and align with our broader capital allocation framework. Potential deals would most likely help us further penetrate the large and growing addressable AMS and DRS markets. An example of this was the KAL deal we discussed last quarter. By following this framework, we are committed to allocating capital in ways that will compound cash flow in the future and ultimately enhance long-term shareholder value. Moving to the guidance on Slide 13. In the fourth quarter, we expect revenue of $1.355 billion at the midpoint of our range, reflecting organic growth in the mid-single digits. Using current spot rates, FX is expected to be a year-on-year tailwind of 1 to 2 points. The organic revenue guidance assumes AMS/DRS growth at the high end of our framework. Adjusted EBITDA is expected to be between $267 million and $287 million, and EPS is expected to be between $2.28 and $2.68. Next to this Q4 guidance, you can see what this implies for the full year relative to our full year framework. On the right side of the slide, our organic growth framework remains consistent from the beginning of the year. We are still expecting to deliver mid-single-digit total organic growth, supported by mid to high teens organic growth for AMS/DRS. EBITDA margins are expected to expand between 30 and 50 basis points with conversion of EBITDA to free cash flow of between 40% and 45%. We remain on track to return more than half of that free cash flow to our shareholders through our share repurchase plan and dividend. Supported by the growth and margin expansion we have already seen year-to-date, we are confident in our outlook for the balance of the year. And with that, we're happy to now take your questions. Operator, please open the line.
Operator: [Operator Instructions] Our first question today comes from George Tong of Goldman Sachs.
Keen Fai Tong: You increased your full year growth outlook for AMS/DRS to be in the high teens. Can you elaborate on the client traction you're seeing in both AMS and DRS that drove you to increase your outlook?
Richard Eubanks: Sure. George, this is Mark. Yes, we had a good quarter this year -- this quarter, not just on sales, as you can see, the progression continue, but also in the pipeline. And that gives us good visibility into Q4 and really into first half of next year. We're seeing it both in AMS and DRS. Both are growing equally on their own right, and we'll continue to penetrate across all regions. I think you can see in the deck this quarter, we showed just sort of a brief overview of our AMS footprint. And we're certainly not fully penetrated in those markets. But as you can see, we've got green shoots all over the globe across almost all of our footprint today with more opportunities to go. On the DRS side, that pipeline continues to be very healthy. And one of the things that we talked about last quarter was the amount of conversions from CIT and retail to DRS. Last quarter, we were about 1/4 of our signings were and growth were coming from conversions of our CIT customers. That has actually accelerated into Q3. About 1/3 of our global DRS signings are coming from traditional customers. So we like the progress that not only we're seeing with our existing customer base, but also we continue to tap the unvended markets. As we think about sort of going around the globe though, this -- I'd say this growth is becoming more even as we're seeing good progress both in North America as well as the other three regions. And you can see our -- even though our penetration in Europe is relatively high compared to the other regions, we continue to see good growth there. We'll see Latin America and rest of world continue to pick up pace as well, particularly when you look in Latin America, both Brazil and Mexico continue to really perform for us. That's something that, as you can see, it's one of our least penetrated regions, but has some of the biggest opportunities, very cash-intensive economies, large ATM networks, large bank footprints, but also a very, very large small retail distribution as well for the unvended market. This is where we see this 2x to 3x TAM continuing to be an opportunity into the future.
Keen Fai Tong: And then turning to your CVM business. The revenue performance relatively flat organically in the quarter, and it slowed a bit from about 1% growth in the prior quarter. Can you talk more about trends you're seeing here and factors that can either drive a reacceleration in CVM growth or perhaps further moderation in organic performance?
Richard Eubanks: Certainly, the big thing there as we continue to convert, as I mentioned, to AMS/DRS, accelerating from 25% to basically 33%. That probably accounted for 2 to 3 points of organic headwind on the CVM business. And the only other piece of the CVM business really is our Global Services business, which really continued to perform in line with Q2 globally, which is sort of mid-single digits.
Operator: Our next question comes from Tim Mulrooney of William Blair.
Timothy Mulrooney: Just first of all, on AMS/DRS, I'm wondering if you could talk about some of the things that you're doing internally to drive continued growth in that business, which is growing faster than what we were expecting this year. And I know you're winning new programs, but any details you could provide, I guess, without getting into competitive issues around maybe like…
Richard Eubanks: Sure.
Timothy Mulrooney: Are you adding additional channels, Mark? Any like adjustments to incentives, either in the field or the corporate side? Like what's really helping drive this next leg of growth, I guess, is what I'm asking?
Richard Eubanks: Yes. That's a good question, Tim. We've talked briefly around this historically about how we changed our incentive comp plan. And we did that really 2 years ago, we changed our incentive comp plan for our maybe top, let's say, 100 people in the company that had a big part of their annual incentive plan were tied to DRS/AMS revenue growth. We've actually expanded that now to more than 1,000 people in the company. Basically, anyone who's got a management incentive bonus is tied to AMS/DRS growth rates. Actually, we have it weighted higher than total revenue growth to make sure that everyone understands the focus. I think that's sort of at the top level. And I think that's what's helping us and our leadership team across the globe really execute the strategy that we want, which is, again, more AMS/DRS, more flexible network, leveraging kind of the full capacity using technology to be able to do that. On the ground, though, it's also important that our sales teams have similar incentives. And so if you think about an incentive comp plan for local salespeople, that has been, let's say, traditionally, for Brink's, a very local decision and something that local management was sort of left to do. We've started to globally align those sales incentive plans across the globe to focus predominantly on AMS/DRS and helping our customers through this journey from traditional CIT, whether it's the banking or retail segments to move to this more managed services environment. So that's been helping us make progress. This year, we're going to take another step there and further align more specificity across all of our incentive comp plans for our sales teams globally to focus on those two things. In fact, we have some leadership -- local leadership that has taken this even to a higher level. We have some regions where our leadership team has made the decision to either discount commission plans or not even provide commission plans for salespeople that aren't selling DRS/AMS that might be selling traditional services. And again, not being punitive, but more leading our teams to help lead our customers to this value-accretive value proposition for both customers and for Brink's. I think the last thing you asked about was channels. This is an area that is a big change for Brink's. Historically, we've sold direct with all of our salespeople by being direct Brink's employees selling directly to financial institutions and retailers and so forth. We've actually begun to evolve that to work with channel partners. And this is evolving in all regions. And whether this is a commission sales force or it's a value-added reseller or another channel partner, we have white label agreements with some banks to sell DRS to their retail customers. So we really are trying to evolve this process to, again, help everyone in the channel make the cash ecosystem more efficient and feel a lot more inclusive in the rest of the payments ecosystem, whether that's at DRS or in the cash distribution and deposit networks.
Timothy Mulrooney: That's good detail. Thanks for outlining the incentives and the channels helping drive that good growth. The other thing I wanted to ask you about was the North America margins. I mean, just incredible this quarter. You're up 300-plus bps. I wonder how to think about that, I guess, from a longer-term perspective, like what the margin potential is in that business? Because I see some of your other segments and where they are, but I don't actually know if that's comparable because Latin America has some pretty different dynamics and so does the rest of the world with the BGS business. So how would you have investors -- how would you frame for investors the margin potential of that business in North America? I would ask incremental margins because that's always an easy way for analysts to kind of level set, but you're decapitalizing the business. So I don't even know if that's like the right way to think about it incremental. So I'll just -- I'll leave it there, but curious how to frame the margin either from a medium-term or longer-term perspective in North America, given the momentum that you're seeing right now?
Richard Eubanks: Sure. That's a good question, Tim. I would say, if you look at the margin progression, let's just say Q3, first of all, yes, it prints 370 bps. If you remember, we had 330 bps. If you remember, we had a loss last year during this time frame that makes it a little bit of an easier comp, but still great performance from a margin expansion perspective, particularly when you look across the years. So if you look at this chart, you can see sort of steady upward progression in the business. And this is driven by really 3 big things. The first and foremost has been our AMS/DRS mix improvement across the business. That's certainly been helpful. Those are accretive margins and certainly allow us, as you mentioned, to decapitalize the business and make the business more dynamic. The second has been a more disciplined pricing posture that we've taken that maybe historically we had not. And we've been very disciplined since coming out of the pandemic, frankly to, just to make sure that we're not only covering our costs, but also improving our margins and getting the right value with customers on both sides. And then lastly, really has been our operational execution. And I have to applaud our North America team that really has been working hard and showing real improvements operationally, both in service quality, service timeliness and then, of course, I mentioned safety. And any time you see safety improvements, that's an indicative measure of how well we're running the business or how well the business is being run, let's say. And we think that that's a good one for investors to understand that we've got a good foundation to continue to go forward. Our incremental margins are going to be anywhere from 20% to 30%, Tim. That's kind of how we think about it going forward. But there's not really a -- we don't think it's really an artificial ceiling here in front of us. And we think there's still more room to go. I mentioned the 20% EBITDA margins in the midterm. To me, that's just an interim checkpoint of where we want to take the business because if you know this, and it's not without -- it's in the public domain, we actually have a gap in North America with one of our other traditional competitors, which gives me lots of confidence that we still got room to go and still run the business better, much less with this new business model on top that is decapitalized, that's more flexible, more dynamic and more value accretive for customers.
Operator: Our next question comes from Tobey Sommer of Truist.
Tobey Sommer: I wanted to ask about the cash conversion. What are your current thoughts on midterm goals for free cash conversion from EBITDA? And as part of your answer, could you describe the DSO improvement drivers, maybe mix shift versus other more discrete actions that you've undertaken?
Kurt McMaken: Yes. Tobey, it's Kurt. Why don't I take this one, just kind of walk through it a little bit. First of all, we feel good about our framework in terms of conversion, 40% to 45%, not only in the near-term, but going forward, we think that's a good thing to look towards. The reality is we've been working hard on making sure that we're creating cash throughout the year and focusing on all aspects of that generation throughout the year. And so specifically to your DSO question, there's a couple of things to really I think focus in on. One is the mix of the business, where if you look at AMS/DRS, those are both subscription-based business models, and they absolutely have a very favorable DSO profile for us. So as we continue to grow that, that is a real positive for our DSO improvement. We were better by 5 days, as we mentioned. I mean the other is, again, we -- this gets back to a comment Mark made on incentives. We really have a broad-based incentive now across our leadership base focusing on free cash flow delivery. And so therefore, that delivery really, really is spread out around the world and people focused on it. So that's number 2. The third I'd say is just maybe really working collections harder than traditionally has been done, just getting in and grinding through it, I think is also a factor. The other thing I'd mention too you didn't mention on accounts payable DPOs, but that has also been a real focus for us. We were better, improved by 4 days at the end of the third quarter as well. So that's the second piece. And then finally, I'd say on the CapEx and the capital intensity side of things, the AMS and DRS is a less capital-intensive business. We've been decapitalizing, taking trucks out, for example, Mark has mentioned that in the past. So all of these levers are really working towards the free cash flow generation conversion factor supporting it.
Tobey Sommer: Geographic growth was pretty well balanced organically in the quarter on a year-over-year basis. What geos may have higher or lower trajectories going forward? And maybe if you could provide a driver for why there could be a more wider dispersion going forward, if you think that's the case?
Richard Eubanks: Yes, sure. In fact, I don't think that's the case, Tobey. I think we've got opportunities to continue at this pace in all regions. Of course, there's going to be opportunities up and down. You think about the Rest of the World segment, particularly given the fact that half of it is BGS. Volatility, obviously, in that part of the world makes a big difference. And so that's why you saw 9% in Q1 and sort of mid-single digits moderating here in 2 and 3. So maybe that's one area. But to be honest, we still feel like we've got good runway with all of the regions, particularly when you consider the unvended retail markets in one vein. And the second is the installed base of the banks. And so as our outlook -- as we think about outlook for AMS and we think about bank outsourcing, there's no region that is over penetrated or has already matured in that way. And we think our ability to capture that when those markets are turned over the next few years, we think there's good opportunity, again, in a big TAM over the next -- well, for good organic growth across all 4 regions. I think we think about sort of looking forward in the next year, maybe in the shorter term, there's nothing we've seen from a customer and market perspective that would change our mind on the organic outlook. We think this framework, obviously, we'll put our guidance out in -- after Q4. But there's nothing that says we wouldn't be able to continue this same framework of mid-single-digit organic growth is mid to high teens AMS/DRS, 30 to 50 bps of EBITDA margin. And just thinking about what's happened this year and relative to the FX in H1, we had a big headwind and slight tailwind in H2, probably going to see something similar if you look forward into '21, a little more of a benefit early in the year in H1 and then, obviously, not much benefit if you snap today's -- snap the line on today's FX rates in H2. So we feel like we've got a pretty good setup for next year. And again, healthy pipelines, as I mentioned, both in AMS/DRS that continue to accelerate as we shift our incentives, as we improve our execution, as we build out more product offerings for our customers and then ultimately, how we execute in the field that continues to improve and get better and just expanding with more channel partners and more at bats with more customers is just going to fuel this opportunity. So nothing that I would say would slow down the organic opportunity. Kurt, anything maybe about '26 or anything else you?
Kurt McMaken: Yes. Just to be clear on the FX, Tobey, I think Mark's comment there, I mean if you snap the line today using rates today, you would expect to see a slight tailwind in '26 and for the year and then more weighted towards the first half is what Mark was -- just to be clear on that. But the other thing I'd say is that as we look at -- and Mark was talking about opportunities, if we think about how we're really trying to run the business, we definitely continue to see -- we see opportunities in the area of getting a lot more efficient in our SG&A area. So we're continuing to work at this, and we'll continue to make progress. But as Mark has described, how we're running the business differently than how we have in the past, we expect that we're going to continue to really find efficiencies to support our margin expansion.
Richard Eubanks: Yes. I think this is part of just globalizing the business, Tobey. And as you think about our strategy, it's multipronged. And certainly, it's around growth and customer loyalty. It's around innovation around technology and customer offerings, operational excellence and people. But part and parcel to all of that is sort of how we run the business day-to-day in the back-office as well, whether that's across the big functions in finance, IT, HR, sourcing, procurement, real estate, those are all things that historically for 165 years, the company has run sort of independently and disparate around the world. We've been evolving that. We certainly have a strategy around doing more things similar. And we think there's still more back-office sort of fixed cost productivity left in the business that we plan to start getting after and more so in '26 and beyond. So there's -- yes, there's good organic growth. Yes, there's good product mix, but we think we've still got some good productivity left in sort of the fixed base of the business that we can wring out.
Tobey Sommer: I'd like to sneak one more in and just because I'm not asking about AMS deals, doesn't mean I don't like the growth. The bank consolidation, what's your view on it here on a net basis? I'm sure there are puts and takes on either side and -- but approvals from regulators are the fastest they've been since 1990 at 4 months and some deals have started to be announced. So if this ends up being something that lasts for a few years, how should investors think about that and its implications for your business?
Richard Eubanks: Yes. Good question, Tobey. It's something we obviously are watching very closely. And these most recent announcements have certainly been in our customer base. And so trying to see where those things land. We think with our AMS solutions, this likely becomes an opportunity just given the fact that we have the ability to, first and foremost, provide an offering that is unique, we think in the marketplace. It's not commoditized, and we have a unique offering and a unique value proposition to do that. The second is for those consolidators, we provide them an opportunity to create real cost synergy as well as they think about streamlining their network, their branch footprint, their infrastructure to, again, help through that synergy to sort of wring out the cost and productivity that exists. And we talked about this previously about AMS in general, we've seen earlier in early years, the last few years, we've seen more opportunities outside of North America around AMS, just given the fact that the banking footprints were already consolidated and that this an ATM network productivity opportunity really was pretty high on the list of improving profit margins, whereas in the U.S., more bank consolidation and sort of redundant public company costs were -- or infrastructure and compliance costs were more of the productivity lever. We actually are starting to see the AMS discussions more frequently in North America. I don't know if the 2 things are tied to this consolidation or not, but we certainly think there's going to be opportunities for us there. I think in the short-term, there is certainly footprint consolidations that would happen to our traditional business potentially, where if a bank buys another bank, they've got 2 branches on the same corner, maybe we lose a location there. That certainly could happen. But as we think of -- we -- well, back up, we are thinking about this strategically and making sure that we're also partnered with the right consolidators and making sure that we're serving those being consolidated also in a healthy way that allows us to maintain those customer relationships in the event there is a merger. So I'd say net-net, Tobey, we think this probably is good just based on the AMS opportunity for long-term. Sure. Great. Well, listen, thanks for joining us, everyone. We appreciate your continued interest in Brink's, and we look forward to speaking with you all soon, whether on the phone or on the road. Have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.